Operator: Greetings, and welcome to the TrueBlue Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I want to remind everyone that today's call and slide presentation contain forward-looking statements, all of which are subject to risks and uncertainties, and management assumes no obligation to update or revise any forward-looking statements. These risks and uncertainties, some of which are described in today's press release and SEC filings, could cause actual results to differ materially from those in the forward-looking statements. Management uses non-GAAP measures when presenting financial results. You are encouraged to review non-GAAP reconciliations in today's earnings release or at trueblue.com under the Investor Relations section for a complete understanding of these terms and their purpose. Any comparisons made today are based on a comparison to the same period in the prior year unless otherwise stated. Lastly, a copy of the company's prepared remarks will be provided on TrueBlue's investor website at the conclusion of today's call. And a full transcript and audio replay will be available soon after the call. It is now my pleasure to turn the call over to Taryn Owen, President and Chief Executive Officer.
Taryn Owen: Thank you, operator, and welcome, everyone, to today's call. I'm joined by our Chief Financial Officer, Carl Schweihs. Our third quarter performance exceeded expectations as business trends continued to stabilize and we gained traction with our strategic focus. We've made meaningful progress advancing our growth strategy, including enhanced performance in attractive end markets, most notably within our skilled businesses. Energy sector revenue more than doubled this quarter, reflecting our continued success and strong position in this growing market. Our commercial driver business delivered its fifth consecutive quarter of double-digit growth. This growth is driven by our decades of commercial driver industry experience and deep expertise in the skilled trades labor market, where we are helping to address structural labor shortages and serving rising demand that is aligned with strong secular growth drivers. Our results demonstrate our commitment to realizing improved profitability. We continue to execute with operational discipline, driving efficiencies, leveraging technology to scale and positioning the business for sustainable margin expansion. These efforts are delivering results. We reduced our operating costs while growing revenue as our targeted actions to streamline our cost structure are translating into stronger leverage and enhanced profitability. We continue to lead on the digital front. Across the enterprise, we are integrating enhancements to our full suite of proprietary technology platforms to deliver faster, more precise and transparent workforce solutions. This progress has earned us strong industry recognition and third-party validation for our intuitive, high-performing digital platforms, which are focused on improving engagement across the client and talent life cycle. One recent enhancement I'd like to highlight is the price estimate feature we enabled within our PeopleReady JobStack platform. This feature allows existing customers to view and accept a price quote directly in the app when placing new orders, enhancing transparency and improving efficiency of the overall workflow. The new functionality has been well received by our existing customer base, and we are expanding this feature to new customers later this quarter as we continue to elevate the user experience. Advancing our digital ecosystem remains a priority, positioning us to meet the evolving needs of employers and talent while driving higher engagement, satisfaction and retention. Alongside our digital transformation, we continue to optimize and expand our sales function to accelerate growth and capture demand. In our on-demand staffing business, our transition to a territory-based go-to-market structure with expanded sales resources is driving improved results, enabling us to pursue opportunities in priority markets more effectively and to accelerate new client acquisition. By reorganizing our sales model, we have been able to expand our sales capacity in the field by 50% and deploy localized sales strategies while maintaining operational excellence and discipline. This investment in local sales is driving favorable progress with our on-demand business showing improved sequential trends at both the state and regional level. We continue to see momentum in our enterprise-wide strategic partnership program and cross-selling initiatives as well. Our recently announced strategic partnership with a leading group purchasing organization is unlocking new client acquisition channels and generating opportunities across our brands. The robust pipeline includes several multi-brand prospects and has already resulted in multiple new business wins. Greater enterprise alignment and collaboration is also building stronger partnerships across our brand portfolio. For example, collaboration between our PeopleReady and commercial driver business teams recently helped secure a multimillion-dollar deal with a leading energy solutions manufacturer, strengthening our enterprise relationship and fueling future growth. As we continue to build on this momentum, we are also successfully expanding our share in high-growth and underpenetrated markets. Since our acquisition of Healthcare Staffing Professionals earlier this year, we have continued to strengthen our position and expertise in the U.S. health care market. As a TrueBlue brand, HSP has expanded into 3 new states, highlighting the growth potential when backed by TrueBlue's extensive reach, technology and recruitment agility. Health care remains a significant long-term market opportunity with strong secular tailwinds, and we are scaling this business thoughtfully to capture sustained demand. We are also capturing market share with our commercial driver business in underpenetrated and growing geographies, while our RPO solutions continue to expand coverage in attractive verticals such as engineering and technology through higher skilled roles. For example, after implementing an RPO engagement earlier this year with a large U.S. industrial distributor for engineering roles, we have now expanded to encompass 100% of their hiring needs, driven by our team's exceptional service and execution. This reflects the transformative value of our specialized and scalable workforce solutions. In summary, this quarter underscores the progress we're making on our long-term enterprise strategy as TrueBlue continues to strengthen performance, anticipate market shifts and advance towards sustainable, profitable growth. Our key priorities are taking hold as we further expand in high-growth markets, accelerate our digital transformation and optimize our sales function. The staffing market is large and highly fragmented with significant untapped potential, and TrueBlue is well positioned to capitalize on these growth opportunities and deliver greater shareholder value as the market rebounds. I will now pass the call over to Carl, who will share further details around our financial results and outlook.
Carl Schweihs: Thank you, Taryn. Total revenue for the quarter was $431 million, up 13% and exceeding our outlook, driven in large part by our skilled businesses, which continue to outperform the broader market with double-digit growth. Overall, business conditions continue to stabilize with our on-demand, on-site and RPO businesses, all showing improved sequential trends. Our recently acquired HSP business drove 4 percentage points of year-over-year growth with solid momentum going into the fourth quarter. These are all encouraging signs that our strong value position is enabling us to both capture demand and to build on this momentum as we finish out the year and enter 2026. Gross margin was 22.7% for the quarter, down from 26.2% in the prior year period, primarily due to the changes in revenue mix and less favorability in prior year workers' compensation reserve adjustments. The revenue mix impact stems from more favorable trends in our lower-margin staffing businesses and outsized growth in PeopleReady renewable energy work. As a reminder, renewable energy work carries a lower gross margin than the general PeopleReady business due to the pass-through travel costs involved. As for the workers' compensation impact, you may recall last year's gross margin benefited from a significant reduction in workers' compensation costs due to a favorable development of prior year reserves. As expected, that degree of favorability did not repeat this year. Certain software depreciation now being reported in cost of services also contributed to the margin decline. Keep in mind, software depreciation is noncash and excluded from our EBITDA and adjusted EBITDA calculations. As Taryn mentioned, even while revenue grew double digits this quarter, we successfully reduced our SG&A by 8%. This improved leverage demonstrates our continued discipline in managing costs and driving efficiencies. We've made significant progress in creating greater flexibility to scale and are well positioned to drive enhanced profitability with our simplified cost structure and improved efficiencies as industry demand rebounds. We reported a net loss of $2 million this quarter, which included a small amount of income tax expense primarily associated with our foreign operations and essentially zero income tax benefit on U.S. operations due to the valuation allowance and effect on our U.S. deferred tax assets. As a reminder, the valuation allowance has no impact on our operations or liquidity. Adjusted net income was $1 million, while adjusted EBITDA was $11 million. Now let's turn to the segments. PeopleReady grew 17%, driven by heightened demand in the energy sector. Revenue more than doubled in the energy vertical as we continue to leverage our deep expertise and strong client relationships to capture demand. Our on-demand business is also showing improved trends with sequential growth during the quarter and the Eastern region of the U.S. returning to year-over-year growth as we exited Q3. PeopleReady segment profit margin was up 180 basis points as our disciplined cost management and increased efficiencies drove improved operating leverage. PeopleManagement grew for the third consecutive quarter with revenue up 2%. This growth was driven by continued outperformance with our commercial driver business, which delivered its fifth consecutive quarter of double-digit growth. While on-site client volumes declined for the quarter, our team continues to outperform the prior year in new business wins, securing $27 million of annualized wins during the quarter and positioning the business for a strong start to 2026. PeopleManagement segment profit margin was up 90 basis points as our disciplined cost management actions continue to drive improved efficiencies and greater operating leverage. PeopleSolutions revenue grew 28%, with HSP performing in line with expectations and contributing 39 percentage points of growth, offsetting the segment's organic decline of 11%. While overall hiring volumes remain subdued, our teams are doing a great job of adding new clients to our portfolio and expanding existing relationships, especially with higher skilled roles and serving attractive end markets such as health care, engineering and technology. As customers' hiring volumes return, the scale of these engagements positions us well to drive further revenue expansion aligned with long-term secular trends. PeopleSolutions segment profit margin was up 200 basis points, largely driven by cost actions to deliver efficiencies and greater scalability. Now let's turn to the balance sheet. We finished the quarter with $20 million in cash, $68 million of debt and $75 million of borrowing availability, resulting in total liquidity of $95 million. During the quarter, we increased our working capital by $19 million, demonstrating our continued focus on operational efficiency and enhanced financial flexibility. We maintain a very focused capital strategy, managing a strong liquidity position and financial foundation to ensure we're well positioned to capitalize as market demand rebounds. Looking ahead to the fourth quarter, we expect revenue growth of 4% to 10% year-over-year as we continue to build on the progress achieved in the third quarter. Our recently acquired HSP business is expected to grow sequentially from the third quarter, contributing 4 percentage points of growth in the fourth quarter and position us well going into 2026. I also want to provide additional details around the sublease agreement for our Chicago support center referenced in our 10-Q filed today. Our extensive national footprint differentiates us in the market. We're always evaluating our real estate portfolio for opportunities to maximize our reach, which includes both our branch locations and support offices. While there will be a noncash expense to align our right-of-use and leasehold improvement assets with the sublease terms, this reduction in corporate office space unlocks over $30 million of cash flow over the remaining 10 years of the lease. By continuing to optimize our fixed cost structure, we are better able to invest in the markets with the greatest opportunities for growth. Additional information on our outlook can be found on our earnings presentation shared on our website today. Before we open up the call for questions, I want to turn it back over to Taryn for some closing remarks.
Taryn Owen: Thank you, Carl. As you have heard from us today, our strategic focus is driving meaningful results, strengthening our market position and unlocking new avenues for growth. Our digitally enabled specialized workforce solutions are uniquely positioned to help businesses solve complex talent challenges with precision, scale and agility. By continuing to execute our long-term strategy, we're not only accelerating growth and enhancing shareholder value, but also advancing our mission to connect people and work. This concludes our prepared remarks. Operator, please open the call now for questions.
Operator: [Operator Instructions] And your first question comes from Marc Riddick with Sidoti & Company.
Marc Riddick: So I was wondering maybe we could start with the strength that you're seeing, the improvement in on-demand that you shared in prepared remarks. Maybe you could talk a little bit about maybe parse that a bit as to how much of that is being driven by the PeopleReady sales territories initiative and maybe how much of that is sort of just general broader market demand growth?
Taryn Owen: Great. Thanks for the question, Marc. We continue to see strong performance across our sales-enabled territories and throughout our on-demand organization with metrics that highlight both sequential growth and year-over-year profit improvement. Our sales-enabled territories saw stronger sequential growth versus the comp group, and we saw improved profitability in those territories. As I mentioned in prepared remarks, we have increased our sales capacity by 50% this year and aligned those sales reps in high-value MSAs. You might have also saw our announcement today that we have added a new Head of Sales to our PeopleReady on-demand business. Mike joins us with a track record of more than 25 years of sales, operations and growth experience, and he comes from companies like ServiceMaster and Aramark. So we're really excited about his addition and he'll be a strong complement to that local sales strategy that we've implemented.
Marc Riddick: Okay. Great. And then maybe to switch gears a bit. You talked about maybe some of the client verticals and positives that you're seeing there. Maybe you could share a little bit as far as differences between geographies or national or local customers. Maybe you could talk a little bit about those trends and maybe how that paced through the quarter and then maybe into the beginning of the fourth quarter as well.
Carl Schweihs: Great. Thanks, Marc. Let me take that first. I'll kind of give end market geography and then we'll go into intra-quarter trends following that up. Look, in our PeopleReady on-demand business, we saw a stronger performance actually in our local business versus our national accounts, which has really driven a lot of those sales investments that Taryn just walked through. From an end market perspective, we saw the biggest improvements in our energy sector, hospitality and manufacturing. Retail continues to be -- continues to show some softness for us. One other thing that's really important to note is our East region within our PeopleReady on-demand business achieved year-over-year growth in September, really marking the first region to do so in 2025. Notably, it's about a majority of our markets in this region grew year-over-year, so more widespread with some of them even achieving double-digit growth. From an intra-quarter trend, PeopleReady exited Q2 at minus 3%. We exited Q3 at plus 18%, and the monthly trends were plus 14%, plus 19, plus 18%. Our PeopleManagement monthly trends were largely in line with the results for the quarter. And as you're kind of thinking about outlook, look, our outlook typically reflects kind of the seasonal step down that we see in Q4, along with some known headwinds. PeopleReady has historically seen some weather impact in Q4, specifically in our skilled businesses, and that impact is factored into our outlook. PeopleManagement's decline in Q4 is driven by some site shutdowns due to supplier disruption in the automotive industry, which is going to lead to about 2 points of that impact in the quarter as well as some softness -- continued softness in retail. But as we mentioned in the prepared remarks, a lot of new site implementations are positioning that business really well for a strong start to 2026.
Marc Riddick: Great. And then the last one for me. I'd be remiss if I didn't ask about my drivers. I think you mention of double-digit growth, I believe, on commercial driver. Maybe talk a little bit about what's leading to that as well as current bandwidth for taking advantage of further growth opportunities there.
Carl Schweihs: Yes. Thanks, Marc. Yes, we're really pleased with this business. Our commercial driver services delivered its fifth consecutive quarter of double-digit revenue growth in Q3, and it's coming at a time in a very challenging environment for transportation. We're really getting this largely due to taking share in our managed offering. And we feel that we're really well positioned that when volumes do rebound across the transportation market, we'd expect more opportunity for growth in Centerline as much of that growth has been coming from that managed offering.
Operator: And your next question comes from Jeff Silber with BMO Capital Markets.
Jeffrey Silber: Just a follow-up on that line of questioning. There's still a lot of uncertainty out there in the marketplace. I'm just wondering from a conversational or tone perspective, what are your clients telling you? Are things getting a little bit more certain or less uncertain? I'm just curious what they're saying.
Taryn Owen: Yes. Thanks for the question, Jeff. We're seeing early signs of momentum and a return to growth among some of our clients and geographies. As you know, we stay very close to our clients to hear what they're saying. Generally, we understand an inflection point when we're hearing from our customers that they need staff. But I would say, overall, that the customer sentiment remains cautious due to ongoing uncertainties. So it's certainly still a cautious environment.
Jeffrey Silber: Okay. That's helpful. And I get this question from investors, so I'll just ask it to you. There's been a lot of noise about immigration reform, ICE rates, et cetera. Any impact on your business either from a positive or negative perspective?
Taryn Owen: Yes, it's a great question. We're seeing a mix of tailwinds as well as some challenges. So when we're looking at kind of the opportunities, particularly for us in the Southwest, it's created some opportunities for us where we have added a handful of new customers that are really focused on ensuring that they have a compliant workforce. Conversely, we do have some regional impacts tied to ICE activity where we're experiencing higher absenteeism from some of our staff as are our customers from a full-time staff perspective, even when workers are E-Verify compliant. So we're definitely seeing a mix of headwinds and tailwinds. We feel really good about TrueBlue's position in this space. The changes that we're seeing will create longer-term demand for a compliant staffing solution, which is a key strength of ours.
Operator: Your next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Carl, you've made a lot of progress on the SG&A leverage. And I know we've talked about this in the past, but as revenue stabilizes, how much incremental margin expansion would you expect before you have to start reinvesting in the business? I know Taryn said you've hired some salespeople. So I guess I'm trying to figure out maybe capacity and margin opportunity before you have to start reinvesting.
Carl Schweihs: Yes. Thanks for the question, Kartik. Look, we've done a really good job kind of managing costs and controlling what we can in this market. I think Q3 was a good example of kind of our abilities to drive incremental margins, right? We ended up delivering better incremental margins here in this quarter based on increased revenue than we thought in our guide. And I think that pointed to over that 20% incremental margins when we've talked about historically between 15% and 20%. We feel like with our cost actions, we'll do north of that. So we've done that this quarter, and I think we continue to expect that. We will continue to look for opportunities for growth, as we've talked about, investing in sales and other areas to drive the top line. But we feel like with our optimized fixed cost base, we're poised for significant incremental margins and expanding our profitability as demand rebounds.
Kartik Mehta: And then just, Taryn, just the pricing environment out there. I know in certain areas, there's been a little bit greater price competition than others. And I'm wondering, as you're competing with some of the smaller players, what the environment is.
Taryn Owen: Yes, it's a great question, Kartik. We're seeing the typical pricing pressure that you would expect in this kind of environment, not only from competitive forces, but also our clients are looking to -- they're remaining very cost conscious during this uncertain time as well. I think the team has done a really nice job of maintaining pricing discipline and really continuing to look for ways to drive enhanced efficiencies so that we can remain competitive there.
Operator: And ladies and gentlemen, there are no further questions at this time. So I'll hand the floor back to Taryn Owen for closing remarks.
Taryn Owen: Thank you, operator, and thank you, everyone, for joining us today. I want to take an opportunity to thank the TrueBlue team for their tremendous efforts and dedication to providing our customers and associates with exceptional service as well as their commitment to advancing our mission to connect people and work. We look forward to speaking with you at upcoming investor events and on our next quarterly call. If you have any questions, please don't hesitate to reach out.
Operator: Thank you. And this concludes today's conference. All parties may disconnect. Have a good day.